Operator: Good morning. My name is Jeremy and I will be your conference operator today. At this time, I would like to welcome everyone to the Harte-Hanks First Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Mr. Munden, you may begin the conference.
Robert Munden: Thank you, Operator. Our call will include forward-looking statements, such as statements about our strategies, adjustments to our cost structure, financial outlook and capital resources, competitive factors, business and industry expectations, anticipated effects of acquisitions, dispositions, litigation and regulatory changes, economic forecasts for the markets we serve and other statements that are not historical facts. Actual results may materially differ from those projected or implied in these statements because of various risks and uncertainties, including those described in our most recent Form 10-K and other filings with the SEC and in the cautionary statement in today's earnings release. Our call may also reference non-GAAP financial measures. Please refer to today's earnings release for the required reconciliations and other related disclosures. Our earnings release is available on the Investors tab at our Web site at hartehanks.com. I'll now turn the call back over to the operator.
Operator: Thank you. And I will now turn the call over to Mr. Robert Philpott, CEO of Harte-Hanks.
Robert Philpott: Thank you, Jeremy. Good afternoon, everyone, and welcome to Harte-Hank's first quarter 2015 earnings call. As usual, Doug Shepard, our CFO, joins me on today's call, and in a few moments, he will take you through the detail of our earnings release. I am speaking to you from the 3Q Digital offices in San Francisco today. And I am also joined by David Rodnitzky the CEO of 3Q Digital. As many of you will recall, Harte-Hanks acquired 3Q Digital in March and I thought this would be a good opportunity for David to introduce the business and to explain its part in the evolving Harte-Hanks story. And obviously we’ll give you an opportunity to put your questions to him later on this call. But today we’ll focus on our performance in the first quarter of 2015, where the impact of the 3Q acquisition was not financially material as the deal closed very close to the end of the first quarter. At first glance we’re presenting a challenging set of numbers today, particularly in relation to revenue. However, I don’t believe that this reflects the underlying progress that we’re making towards our goal of leadership and smarter customer interaction. And it’s important, therefore, that I spend some time upfront on our call to explain why I believe that there is a fundamentally more positive interpretation on how we’re rebuilding the business for longer term success. And I’ll comment here separately on our Customer Interaction Division and Trillium Software Division. I think it’s fair to say that I’ve been consistent in my view that sales is the life blood for any organization and therefore this is my starting point in looking at the performance in Harte-Hanks. In the first three months of 2015, our Customer Interaction team has built a strong sales pipeline and that’s whether you look at it from the perspective of our ability to attract brand new clients, whether you look at it from our ability to retain existing clients or even our ability to develop new lines of business with existing clients. So let me expand on these points and provide you with some concrete examples of the types of work that our clients have awarded to us recently. First, let’s talk about new logo wins. In the first quarter, we doubled our win rate that is versus 2014 in attracting new clients to the Company. Just let me repeat that, that we’ve doubled our win rate for new clients attracted to the Company. And we were able to achieve this because we now have a more extensive salesforce which offers us expanded coverage in both geographic terms and across industry sectors. An example of this new logo win was a well known cellular provider where we design, track, analyze and then take action on data to help our clients acquire and retain new customers. And that involves Harte-Hanks in database set up, data analytics, create a digital print and direct mail. And our work on this multi-stage program will take place throughout 2015. Now let’s consider the retention of existing clients and most importantly our ability to secure ongoing work for the next 12 months. Our sales organization has been successful in getting earlier and longer term commitment from clients than was the case in 2014. And the result of this is that our secured revenue, by secured revenue I mean here work that has already been committed to us by clients and that level of secured revenue is about the level we saw this time last year. In fact we now have good visibility on more than 90% of the revenue total we achieved in all of 2014. An example of this type of win comes from the financial services sector where wealth management organization chose to renew our contract early and without competitive bidding due to our executional excellence. Then finally a key part of our strategic focus is that we develop relationships with our clients across a much wider base of our capabilities. In early 2015 we saw some great instances of this strengthening of the linkage between Harte-Hanks and our clients. But again the best example of this comes from the financial services vertical too. In this case our prior experience with the division of one of the largest U.S. banks led our appointment as agency of record for additional services in the retail banking. And all of these client wins are on strategy and illustrate the alignment between our goals and our clients’ needs. However new clients, earlier client commitments and new types of projects have a longer on-boarding process than expansion of existing one. And the assignment of -- for the cellular provider that I mentioned earlier is an example of this. New clients and new projects require greater set up time often involving the development of statements of work for example, sometimes visits to our facilities and the piloting of initial ideas. The natural consequence of winning more of this type of business is that our lead time from sale to revenue has increased in 2015. But by understanding our business in this way we are positive about the outlook for the financial performance of the business in 2015 even though it is not yet reflected in our revenues. The other factor impacting first quarter 2015 comparative revenue performance relates to a non-recurring 2014 online streaming video project which boosted first and second quarter revenues in 2014. Now Doug, will give you more details on this shortly. But the nature of this work meant that sales and revenue occurred almost simultaneously in 2014. And of course our 2015 plan calls for us to replace this work, but this is with projects that have a more conventional sales to revenue lead time. In other words we’re highlighting a timing issue. So in customer interaction I’m confident that our top-line sales activities put us in a positive position to achieve our full year target of growth in the business. In Trillium Software we continue to experience revenue performance issues and this is not related to the marketing opportunity where there is evidence of continued growth. We remain excited about the prospects in enterprise data quality and in the broader data governance sector. And nor is there an issue with the Trillium product, where we’ve invested strongly, in bringing the software into line with industry standards. The revenue challenges related to a more fundamental weakness in the sales pipeline. We’re actively recruiting sales professionals to bolster the existing team. And this new talent will enable us to regain our share of the market growth. The new service offerings from Trillium that I mentioned in last quarter’s call relating to cloud or software-as-a-service and Big Data will take some time to impact revenue performance. But again I believe that we have invested wisely in the future of our solution. Our pipeline of Trillium is building but there is some distance still to go and I don’t anticipate catching up to 2014 revenues until much later in the year. Now before I hand over to Doug for the detailed financial information I do want to point out the continued excellent cost control in the business. We’ve demonstrated prudent control on expenses both in terms of their magnitude and timing. It is clear that we have managed our cost base effectively in the first quarter, benefiting from the corrective action we took in the second half of 2014. We’ll continue to monitor expenditure closely and we’ll only commit to additional resources when the revenues increase. I also want to update you on additional initiative we have begun to deliver even greater business efficiency. Already in 2015 we have established a relationship with a major BPO outsource specialist to provide cost efficient back office and operational support. But we're now also underway with a project to establish our own capital outsource center in India. The set up of this center will take approximately six months, which means that the work will begin to transition from our onshore locations in the U.S. and U.K. principally, to our offshore center before the end of the year. Initially this will involve further back-office support but this will not be the only role for the Indian center. It will also provide us with access to talent, especially for future development work for Trillium Software. Later in the call, I'll introduce you to David Rodnitzky but before that let me now have Doug walk you through the detailed financial results. And I'll rejoin the discussion a little later. Doug?
Doug Shepard: Thank you, Robert and good morning. During the quarter, we purchased 3Q Digital and subsequent to the quarter, we sold our B2B research businesses Aberdeen and Market Intelligence. 3Q Digital is a leading digital marketing agency that participates in a part of the marketing industry with strong growth and delivers the typical profits of a market leading agency. The B2B research businesses we sold had underperformed last several years and required goodwill acquisition impairment in 2013. The combination of brining on 3Q Digital and selling the B2B research business will be revenue neutral on an annual basis in 2015 but will be a positive contributor to profits. Turning to our first quarter results, our consolidated revenues were 121.7 million compared to 132.7 million of revenues in the same quarter last year. Customer Interaction revenue declined 7.9 %, let me walk through the results of this business segment by industry vertical. Our technology and financial verticals delivered revenue growth during the quarter. The technology vertical increased from additional contact center activity with existing clients. The financial vertical increased from the addition of two new clients using our analytics, database and creative services along with mail activity. One of these clients is the previously mentioned large financial services customer we announced in the third quarter conference call last year. Our healthcare vertical is essentially flat, reflecting a win of a contact center pharmaceutical client offset by different pharmaceutical client reducing its mailing activity. Our select markets auto and consumer brands in retail verticals declined for the quarter. The select markets vertical declined due to a tough comparison to last year. We discuss last year, our contact centers had a significant non-recurring implementation of online streaming activities for a large client that strived over the last week of March and the first two weeks of April. We're now facing that difficult comparison. Select markets would have not increased if it were not for this implementation project last year. Both are our retail and auto and consumer brand verticals decreased from client losses, reductions in mail solicitation activities and database needs. Postage rates are expected to increase 2% when the new rates go into effect on June 1st. Turning to Trillium, revenues declined 2.1 million or 15.3% versus last year. Most of the shortfalls in software license revenues and the remainder is in maintenance in directory licenses. Trillium had a difficult quarterly comparison with the large 2014 first quarter license sale. Operating income for the quarter was 3 million compared to 4.6 million for the same quarter last year. First quarter 2015 results included 600,000 of charges related to previously announced transactions to acquire 3Q Digital and the sale of our B2B research businesses. Operating income for customer interaction was 1.5 million compared to 2 million same period last year. Operating income was driven by strong expense management, as labor and production expenses were aggressively managed during the quarter to the level of revenue activity. Selling, general and administrative costs increased due to transaction expenses to acquire 3Q Digital and the sale of our B2B research businesses along with an increased in bad debt experience related to a client bankruptcy. Trillium software operating income was 3 million compared to 3.6 million in the same period of last year. This decrease was due primarily to the reduction in timing and software license revenues, as most costs in this business are fixed. Moving down the income statement, our first quarter effective tax rate was 42.6%, which is higher than our 41.7% in the first quarter of 2014. The increase in the effective tax rate is primarily due to a slight increase in our stake deferred tax accruals. We expect that for 2015, our overall effective tax rate will still be in the range of 37% to 39%. First quarter 2015 diluted earnings per share was consistent with last year at $0.03 per share, while our revenue performance during the quarter was disappointing we are pleased that the expense actions I described earlier allow us to maintain our earnings per share performance compared to this time last year. After excluding the transaction expenses related to acquiring 3Q Digital and selling our B2B research businesses our first quarter 2015 diluted earnings per share increased $0.04 compared to $0.03 in the 2014 first quarter. Moving to balance sheet, our net debt balance remains low at approximately 45 million. We currently have 80 million available under our revolver, excluding outstanding letters of credit, in addition to a cash balance of approximately 33 million. For the quarter we spent 2.7 million on capital expenditures compared to 2.6 million in the first quarter of 2014. Our first quarter capital was primarily related to cloud database and Trillium software development. With that I’ll turn the call back to Robert.
Robert Philpott: Okay. Thank you, Doug. Now let me start this part by breaking with the revenue of the major strategic M&A activity in the first quarter and early in the second quarter. We had singled at our Investor Day in May I think it was in 2014 that there were several businesses within Harte-Hanks that were no longer core our strategy. And this was not a question of performance only of relevance to our ambition to be a leader in smarter customer interaction. And we could have chosen to own these businesses for some time but I was concerned that the management of non-core assets will become distracting to a leadership team that neither to stay focused on the task or reimaging our core business. And after several parties expressed interest in our B2B research businesses we accepted an offer for them that we believed to be in the best interests of our shareholders. The transaction involved a relatively simple clean break from the rest of Harte-Hanks with either disruptive impact for staff or clients. And it is another milestone on our strategic journey completed as planned. However, the most important strategic step forward was undoubtedly the acquisition of 3Q Digital in March and I’ll remind you that this is the first acquisition by Harte-Hanks for something like five years. Until the point the 3Q joint Harte-Hanks we had effectively been excluded from client conversations that involved digital execution. That is no longer the case. But this day was not simply about acquiring a digital capability. It was also about giving access to senior leadership talent which would influence the direction of Harte-Hanks overall. And so with that layup it’s the right moment for me to introduce you to David Rodnitzky, CEO of 3Q Digital now part of Harte-Hanks. David?
David Rodnitzky: Thank you, Robert. I’d like to start off by saying how pleased we are to be part of the Harte-Hanks family. Since I’m sure that 3Q digital is new to many of you I’m going to spend a few moments on why 3Q Digital decided to join Harte-Hanks and then I’ll go into some details about what we do, our market opportunity and how we differentiate ourselves from our competitors. Our primary criteria in selecting a potential acquirer was to find a company that would help us grow aggressively, while maintaining core values. We wanted to find the company that would help us to offer even more marketing services to a wider variety of clients. With Harte-Hanks we found just that. The combination of traditional marketing channels that Harte-Hanks already excels at along with the digital marketing strength of 3Q Digital truly creates an integrated origination through which clients can optimize all of their customer interaction points. Moreover after talking to Robert Philpott and numerous members of his team at length, we were convinced the Harte-Hanks was a company that wanted its team members to be successful, fulfilled and at the cutting edge of their field. Culture is extremely important to us at 3Q Digital and we would not have sold the business to a company that didn’t share a core values. So I’m pleased to say that the culture we have at Harte-Hanks have been as advertised. For example we wanted to make sure that we sold to a company that treated its clients as partners, building mutual beneficial long-term partnerships with customers is clearly a part of the DNA here at Harte-Hanks. Although we are less than two months into our relationship we are already working closely with numerous parts of our new organization. Firstly our sales teams have been working together almost since day one of the acquisition. We have presented digital marketing capabilities to some very prominent and exciting clients that we never would have been able to gain access to prior to the acquisition. We have also made introductions to the traditional sales team at 3Q Digital clients that we think could benefit from the full suite of services that we now offer as part of Harte-Hanks. The reception to the broader platform has been very good and our pipeline of opportunities that are leveraging the combined skill sets continues to grow. We have a human resources task force to use the best of both company’s cultures quickly. One of the things that Robert has emphasized to me numerous times is that he wants me to lead culture infusion based on what was achieved at 3Q. So we’ve been working to apply some of the unique cultural elements of 3Q Digital into the wider organization. Examples of the aligning staff responsibilities and empowerments. Now I’d like to tell you a little bit about what exactly 3Q Digital adds to the customer interactional offering at Harte-Hanks. Essentially we help companies promote themselves through online advertising primarily it means that we are buying advertisements on behalf of clients on the largest online sites, in particular Google, Facebook, Yahoo! and Microsoft. There are a few different types of online advertising in which we specialize. Our largest revenue driver is search engine marketing which means buying text ads on Google. If you search on Google for a product or service, you will see text ads at the top of the page and on the side of the page. We are an end-to-end solution when it comes to buying these ads. This includes choosing when to show an advertisement based on what the user is searching Google for, what the actions say, or the creative, what part of the client’s Web site we send the user to, how much we pay for the ad which determines the performance, what parts of the country sees the ad, and how we measure the ad’s effectiveness, the ROI and also the analytics that we use. We also do what is called social media advertising on sites like Facebook and Twitter. This is similar to the advertising we do on Google except that instead of showing ads based on what a user is searching for we typically show ads based on what we know about the user. For example, if the user has self identified on Facebook as being a fan of a particular sports team we can buy ads and offer that user apparel for that sports team. Lastly, we offer the clients search engine optimization this sounds similar to search engine marketing the buying of ads on search engines. But it is quite different. Search engine optimization is the process of making changes to a client’s programming code and content to increase the client’s rankings in the free or sometimes called organic results out of search engine. In other words, we do search engine marketing to help clients show up on search engines with the advertisements and we also do search engine optimization to help clients show up in the regular results of the search engines. We have over 100 clients that we’re currently helping with online marketing. For example we buy online advertising for the world’s largest social media company for one of the largest mobile payment companies and for vertical leaders like Survey Monkey and Eventbrite. Our clients are generally looking for return on investment from their advertising meaning that they want to make more money for their advertising than the cost of that advertising. This is different than what you might expect from a large branding agency for example where the return on advertising expense is not as closely scrutinized. This is a large and growing market. According to the Internet Advertising Bureau’s recent report in April of 2015, Internet advertising spend in the United States was 49.5 billion in 2014 compared to broadcast television at 40.5 billion in second place. Given the speed at which advertising budget is flowing out of traditional channels like TV, radio and prints, we believe that the disparity between Internet advertising revenue and other channels will continue to increase in the future. Clients typically work with us for a few reasons. First, we have a great combination of process and expertise. We have people in our team dedicated full time to developing training program, to make sure that we have consistent best of breed process across the company. We’ve also been successful in hiring and retaining very experienced marketers who are hard to find on the open market. We believe that this combination of art and science drive superior results for clients and it’s hard to replicate. We think we are very well positioned to win more and more business in the future as client needs evolve. Harte-Hanks is executing against a strategy to offer an integrated offering to clients. We call this customer interactions, I think about this from three perspectives; marketing strategy, technology selection and implementation; and media buying. Marketing is more complex than it has even been. Marketers they must consider how they reach customers on multiple devices through an increasingly fragmented array of media channels with a mind boggling selection of technologies to try to measure and optimize the results. As such simply going to an agency and asking the agency to spend money to acquire customers on a particular set of channels is no longer enough. Marketers need a partner to help them identify who their best customers are, develop user experiences that resonate with that customer, implement technology to improve their marketing and chose the right channels at the right time to win new business. Harte-Hanks is well-positioned to offer clients all of these services and we think that more and more clients are going to demand the integrated customer interaction approach from their partners. And with that I will turn the call back over to Robert.
Robert Philpott: Okay, thank you for that David. And let me remind everyone on the call that you’ll have an opportunity to put questions directly to David in a few moments. And we will of course continue our acquisition activities throughout the year. We now have an established pipeline of potential acquisition opportunities and that’s both for Customer Interaction and for Trillium Software. Our strategy calls for additional acquisitions in 2015 to provide additional breadth of services and to add talent. And while you can never be certain when deal negotiations will reach a success conclusion, we anticipate announcing further acquisitions during the year. Acquisition activity continues to be centered on digital marketing and marketing analytics. Finally looking ahead to the second quarter, we see further progress on sales, that’s great news, but a continued challenge on the revenue due mainly to the prior year comparison. I’ll repeat what I said earlier that this situation will not reverse until the second half of 2015. However, we will enjoy some financial benefit from the inclusion of 3Q performance and our performance on both our revenue and operating income basis during the next quarter. And in addition as Doug had mentioned, the elimination of Aberdeen and Market Intelligence from our numbers will improve our operating margins. And while we focus our attention on our sales efforts of course we will retain tight control of expenses. With that I want to thank everybody on today’s call for your continued interest in the business and for your ongoing support to our shared ambitions. I do want to also give to some advance notice that it is our intention to host an Investor Day again in 2015 and this will take place in New York on September 17th. Full details will be sent out by Doug nearer to the date. And with that I’ll now hand you back to our operator who will give you details again on how may participate in a Q&A session with Doug, myself and David. Thank you.
Operator: [Operator Instructions] Your first question comes from Michael Kupinski from Noble Financial.
Michael Kupinski: Let’s start with 3Q. Are there significant or any particular verticals that you’re seeing interest in Harte Hanks traditional advertising offerings that 3Q did not have a prior relationship with?
David Rodnitzky: For us or for 3Q Digital?
Robert Philpott: Sorry, repeat the question Mike.
Michael Kupinski: Yes, so I was wondering, are there any particular verticals that you’re seeing interest in, in particular with Harte-Hanks traditional advertising offerings that 3Q did not have a prior relationship with?
David Rodnitzky: Yes so as you probably know Harte-Hanks has several verticals in which they are very strong and focused on and the sales teams have been pretty active in presenting us to these clients and I would say that so far if I had to talk about specific verticals, the two where we’ve seen that the most activity have been in retail and in technology. We already have a great client roaster in both of those channels however the size of clients that we are being introduced to through Harte-Hanks is much more significant than what we were doing prior to the acquisition in those verticals.
Michael Kupinski: And is it fair to say that 3Q has established relationships in virtually all different types of verticals or were you specific in particular areas of your business?
David Rodnitzky: I think it’s fair to say that we have relationships across all verticals. So yes I mean I think that is -- we have retail, we have technology, we have some science and healthcare, we have enterprise software. So, the pretty broad based, we certainly have never specialized in one vertical in particular. At the end of clients work with us because we drive great return on advertising and that concept was driving great return on advertising is generally agnostic to vertical.
Michael Kupinski: And typically in the past, when Harte Hanks had a modest increase in postal rates there was not much of an impact on the company’s mail activities. Are you seeing more sensitivity to postal rates than in the past?
Doug Shepard: I wouldn’t say that there is more sensitivity. It’s primarily the retailers and banks they are using mailing activity, mail solicitation et cetera and they’ve always been sensitive to changes in postal rates but I would say to any different term, historical terms.
Michael Kupinski: Thanks Doug. And then also you mentioned a high level of committed revenues, kind of highlighting 2014. Are the margins better on the committed revenues or any significant amounts of investments that are needed for those committed revenues going forward or can you give us some color on what the expense line might look like?
Doug Shepard: Sure. There is nothing about the forward commitments that we’re getting would suggest that we’d either had to offer inducement in the form of reduced pricing for example, to get that forward commitment nor do we think that there is anything particular about the type of work that we’re bidding that would indicate that the margins would slip as a result of that. It’s simply that we have a more established and coordinated salesforce no we are out there and making sure that we know should happen is being recorded and we are contractually connected to our clients. And that gives us the confidence it gives the security on our outlook for the business. So, it’s more about that rather than it’s through anything that we have to offer to secure that work Mike.
Michael Kupinski: And then finally, at one of our company's recent conference there were some ad agencies that indicated they plan to increase the amount of spend on direct marketing for political advertising. Can you remind me, I know that government political advocacy has been a category for you in the past and I was just wondering how much political advertising did you have in the last cycle and what type of visibility do you have in political advertising as we head into the fourth quarter of this year and into 2016?
Robert Philpott: I think I’d need to look up the exact number but it’s not a sector that we break out but we do know that it’s a tiny part of the overall business. It’s not something we built a plan around. It’s not something that we expect to contribute significantly to our plans for 2015. So, once we know it’s there, it’s not part of that’s not central to our own plans.
Operator: [Operator Instructions] Our next question comes from the line of Dan Salmon with BMO Capital Markets.
Dan Salmon: I apologize I jumped on a little late, so some of this may have been covered before. But David maybe you just mentioned a little bit about 3Q's orientation by advertiser vertical. Could you maybe just give us a quick history on the evolution of the offering? I think from more of a foundation in SEM to multi-channel and what you may briefly see going forward, just through your high level view for the strategy? And then I've got just one more follow-up after that for Robert.
David Rodnitzky: Sure. So as you know, we started as a search engine marketing agency. And essentially over the last few years, we’ve really been listening to clients and observing where customers are interacting with our clients’ products and services across the Web and we’ve made decisions to invest in channels that we see as very important to our clients. So, from that perspective what we’ve done is we’ve basically been hiring experts in these marketing channels and examples would be social media advertising, search engine optimization. We recently hired a person to head our mobile acquisition team for mobile advertising and so forth. And we believe that advertisers want a service provider that is able to offer them multiple channels across multiple devices and that’s what we’re working toward. In terms of the future, certainly I think that mobile advertising is going to be very important and as I mentioned we brought someone on to head our mobile ad acquisition team I believe in February. And then we are looking at categories like native advertising which is content marketing and ongoing user experience testing and usability as categories where we see demands from customers going forward.
Dan Salmon: And Robert just maybe quickly on Trillium, you've highlighted I think some of the challenges in the sales pipeline and you want to focus on investing there. Could you also just maybe catch us up a little bit on, you talked about the international opportunity and sort optimizing the sales force there with some of your third-party resellers. Just a little color about how that's progressing?
Robert Philpott: Yes, we’ve gone through an evaluation of the reseller network that we have for international sales within Trillium in a number of cases we have terminated deals where we didn’t believe the performance of the reseller was consistent with the value of the product that we had. And we’ve focused our attention in a smaller number of markets. That process I think I’ve referred to in our last quarter call and said that there was still work to do on that and there still is a little bit of work to do on that area. Some of the markets parts of Europe, parts in Asia have been less strong than we’ve seen in their economies than in the past. But we expect that situation to rebound for us as we concentrate our effort amongst the smaller group of resellers. I think in time, we will expand that reseller network again but it will be with what I would say will probably be more appropriate partners for the business.
Operator: Your next question comes from the line of Adam Peck with Heartland Funds.
Adam Peck: Rob, I think you had said that you have good visibility on 90% of the revenues that were achieved in all of 2014, is that correct?
Robert Philpott: That is correct.
Adam Peck: So you are saying that essentially if you take out the sales decline this quarter, it looks like at worst sales will be flat for the rest of 2015?
Robert Philpott: I think, what we're saying is -- it's on the revenue that we have the visibility that was there, so let's just stick on the revenue. If we looked at the revenue situation or we're very confident at we have forward visibility at this stage, we can't rely on things that happened in the market subsequently. But at this stage would be here with better visibility on our revenue than we had in 2014.
Adam Peck: Do you think then this would be the low point in the year as far as revenue perspective?
Robert Philpott: As I said, I think that there is still tough competitors particularly for the month of April we had that major contract that occurred and straddled the very end of quarter one in 2014 and the first month of the second quarter in 2015. So I think those competitors are challenging during that period. So I expect there still to be challenged in the second quarter. I think the situation changes, when we get to the second half of the year and that's both will Trillium and with Customer Interaction but particularly with Customer Interaction that that turnaround occurs and the balance between the positive sales news that we have, is more reflected in the revenue performance in the second half.
Operator: There are no further questions at this time.
Robert Philpott: Okay. Well that just reminds me to thank everybody for your attention this morning and any additional questions could be sent to Doug, myself or David directly. Thank you.
Operator: That does conclude today's teleconference. You may now disconnect.